Operator: Good day and welcome to the Pyxis Tankers’ Conference Call to discuss the Financial Results for the Second Quarter 2021. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers’ website, which is www.pyxistankers.com. Hosting the call is Mr. Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Mr. Henry Williams, Chief Financial Officer of the company. I would like to pass the floor to one of your speakers today, Mr. Eddie Valentis. Please go ahead, sir.
Eddie Valentis: Good morning everyone and thank you for joining our call for the three months results ended June 30th, 2021. First, I hope you, your family, friends, and colleagues are well on the way to recovery from this pandemic. While we continue to be encouraged by the expanding distribution of vaccines worldwide and its positive impact to personal and commercial activities, we are concerned about the new COVID variants. So, stay safe and strong. Before starting, please let me draw your attention to some important legal notifications on slide two that we recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning the slide three. Our most recent quarterly results primarily reflect to the poor chartering environment. In the three-month period ended June 30th, we generated time charter equivalent revenues of $4.1 million, down 8.8% from the same period in 2020, primarily due to lower charter rates. We had a net loss of $1.5 million in Q2, which was higher than the same period in the prior year. Our loss of $0.04 per share reflected an increased share count of 15.9 million for the most recent period. Our adjusted EBITDA for the period ended June 30th was $0.4 million. The product tanker chartering environment during the second quarter 2021 reflected a further compression of rate, especially for the spot markets in Asia. The period market, albeit more stable, did encounter a decline to levels below 10-year historical averages. However, our operating results for Q2 2021 primarily reflected the stability and contribution from the short-term time charters for our medium range product tankers. The average daily time charter equivalent for our MRs was approximately $12,700, which was about $2,165 per day lower than in the same period of 2020. While disappointing, these results were better than those that could have been achieved in the spot market. The current challenging conditions are further evident for Q3 with 47% of available days booked for our MRs at TCE of approximately $10,900 per day as of August 4, 2021. We are encouraged by accelerating economic activities and greater mobility worldwide. Reportedly, global inventories of refined petroleum products approximate five-year averages and refinery utilization is at a robust level. Rebound in global GDP growth led by the developed countries look to be strong through at least 2022. The supply outlook for product tankers continues to look very promising based on low new vessel loading and the high level of scrapping. We continue to position the company for a recovery in our sector, which we expect to see later this year. In July, we accomplished certain important strategic and financial objectives by expanding our fleet of e-commerce, while maintaining a strong balance sheet, enhancing liquidity, and providing additional capital for another potential vessel acquisition. We took delivery of a 2013-built MR2 which we have named the Pyxis Karteria. The purchase was funded by cash on hand and the $13.5 million secured bond loan from a new lender. This seven-year amortizing loan was competitive price with attractive covenants. Also, in July, we completed a follow-on public offering of Phase A convertible preferred stock, which provided almost $5.6 million often net proceeds. Please turn to slide four for information on our current fleet and employment activities. As you can see, we continue to use a mixed chartering strategy of time and spot charters. Now, please turn on slide six for a further update on the product tanker market. In addition to my prior comments about the market, it is abundantly clear that higher vaccination rates, especially in the developed countries have led the economic recovery as recently pointed out by the IMF. But this improvement has been uneven globally due to varying levels of monetary and fiscal support, but same distribution, government health restrictions, and commercial supply chain disruptions. While progress has been made in certain elements of our business such as normalized global inventories of refined petroleum products and increased mobility, we have yet to see an improvement in charter rates. We are hopeful that rates we finalize later this year, especially as we move into a stronger seasonal period in the Northern Hemisphere. Turning to slide seven, the path of global economic recovery should continue to be bumpy. Increasing oil demand and production are positive signs with unexpected return to pre-COVID levels by next year. Current high refinery runs are another sign of a kind of increased demand and come back to normalcy. Updated IMF global growth estimates are encouraging, 6% increase in 2021 followed by 4.9% in 2022. Longer term, product target demand should be also supported by refinery additions led by the Middle East and Asia. Drewry recently estimated that approximately 4.26 million barrels per day of new refinery capacity, net of closures, is scheduled to come on line between 2021 and 2025, virtually all await is outside the OECD. In fact, according to the IEA, shutdowns of 1.7 million barrels per day of capacity have been announced mostly in the OECD, which could result in greater importing refined products into these mature large markets and ton-mile expansion. Moving to slide eight, the supply outlook for MR2s continues to look very promising. The order book is drifting lower and recently Drewry estimated the overall order book stood at the low of 6.8% of a worldwide fleet of almost 1,600 vessels. While 72 MRs are scheduled for delivery over the next 18 months ending December 22, new ordering activity remains subdued. Moreover, due to the recent surge in ordering of new container ship and dry bulk vessels, many Asian yards don't have available construction slots and deliveries until 2024. Known as decision making process for tanking new ordering is further complicated by ongoing developments in shape and engine designs, stricter environmental regulations, rapidly escalating shipbuilding costs, and involving and still unclear selection and availability of lower carbon fuels and the lingering debate surrounding scrubbers. Demolitions have escalated with 22 MR scrubbed in the first half of 2021. This rapid increase is in light of current port charter rates, record highs scrap metal prices, and financial headwind facing the operation of older, less efficient vessels due to new environmental regulations and higher bulker fuel consumption. Given these considerations and the fact that 6.2% of the global fleet of MRs air miles is 20 years of age or older, as of June 30t, we are hopeful that this trend will continue. Consequently, we believe annual net fleet growth for MRs should be around 2% this year and next. Turning to slide nine, despite depressed charter rates, secondhand MR2 asset prices have recently picked up to modestly exceeding historical average. However, we still believe that it's a good time in the cycle to acquire eco-tonnage and capture potential upward movements in charter rates and further asset appreciation. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer who will discuss our financial results in greater detail.
Henry Williams: Thanks Eddie. Let's focus on unaudited results for the three months ended June 30th, 2021 on slide 11. Our time charter equivalent revenues for Q2 of 2021, which we define as revenues net minus voyage-related costs and commissions were $4.1 million, a decrease of 8.8% from the same period in 2020, primarily due to lower charter rates. In the second quarter of 2021, our fleetwide daily TCE rate of $10,905 was almost $900 per day lower than the comparable 2020 period. Moving to slide 12, we incurred a net loss to common shareholders of $1.5 million for the three months ended June 30th, 221, or $0.04 basic and diluted loss per share, based upon 37.4 million weighted average shares outstanding compared to a lower net loss of $1.2 million or $0.06 basic and diluted loss per share based on 15.9 million fewer shares. Besides lower TCE revenues, the most recent quarterly results were negatively impacted by a $300,000 increase in vessel operating expenses. Adjusted EBITDA declined to $400,000 in Q2 2021. Please turn to slide 13, which reviews our recent fleet data by current vessel timing. The key takeaways here are as follows; depressed chartering conditions were evident by the decline in TCE for our MRs in the most recent period. The TCE for our small tankers increased over 20% to almost $6,600 per day, but utilization was lower and OpEx fleetwide increased over $700 per day per vessel to approximately $6,200, primarily due to timing differences in certain vessel costs versus the 2020 period. Please turn to slide 14 to review our capitalization at June 30th, 2021. At quarter close, our consolidated leverage ratio was lower than many publicly-traded tanker companies as net funded debt stood at approximately 36% of total capitalization. Adjusting this table for financing activities in July of 2021 would include the acquisition of the Pyxis Karteria, payment of the Series A convertible preferred stock July dividend, the purchase of a four-year interest rate cap, and receipt of the net proceeds from the follow-on offering for the preferred shares. Cash consequently would increase by approximately $1.6 million. Total funded debt rise by $13.2 million, net of deferred financing fees, and stockholders' equity increased by $5.5 million. The weighted average interest rate was 4.6% during the second quarter of 2021 and a next bank loan maturing is scheduled for the first quarter of 2023. With that, I would like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis: Thanks Henry. In spite of the continued depressed chartering environment, we have taken a long-term view of the sector and our company. Since the beginning of 2020, we have completed various actions to improve our competitive position in order to take advantage of improving market conditions, hopefully later this year. Based on recent signs of optimism, we believe the current tough employment conditions should subside soon. Our stronger financial condition and operating platform give us further confidence in our abilities to weather good times and bad. Looking ahead, we are excited about the prospects of a healthier and more prosperous post-COVID world and our company. We appreciate your interest and thank you for joining our call today. We look forward to reporting on future progress at Pyxis Tankers. Be safe, be well.
End of Q&A: This concludes today's conference call. Thank you for participating You may now disconnect.